Operator: Good day, and welcome to the Yext Third Quarter Fiscal 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded I would now like to turn the conference over to Jeff Houston, Head of Investor Relations. Please go ahead.
Jeff Houston: Thank you, Sarah, and good afternoon, everyone. Welcome to the Yext Fiscal Third Quarter 2022 Conference Call. With me today are CEO, Howard Lerman; President and Chief Revenue Officer, David Rudnitsky; and CFO, Steve Cakebread. Before we begin, I'd like to remind everyone that this call may contain forward-looking statements, including statements about revenue, non-GAAP loss, growth of our business, including with listings and answers as well as geographies such as Europe gross margins, operating margins, net dollar-based retention, capital expenditures and other non-historical statements as further described in our press release. These forward-looking statements are subject to certain risks, uncertainties and assumptions, including those related to Yext growth, the evolution of our industry, our product development and success, including answers and general economic and business conditions, such as the impact of COVID-19 pandemic. We undertake no obligation to revise any statements to reflect changes that occur after this call. Descriptions of these and other risks that could cause actual results to have a material difference from these forward-looking statements are discussed in our reports filed with the SEC, including in our most recent quarterly and annual reports and our press release that was issued this afternoon. During the call, we also refer to non-GAAP financial measures. Reconciliations with the most comparable GAAP measures are also available in the press release, which is available at investors.yext.com. With that, I will turn the call over to Howard. Howard?
Howard Lerman: Thank you, Jeff. Hi, everyone. Welcome to our third quarter earnings call. We had a solid quarter. Revenue of $99.5 million exceeded the high end of our guidance by $1 million, reflecting strong execution against our growth plan, including renewals. This quarter makes us optimistic about the future. We're seeing positive signs that our listings business is beginning to recover. Answers is growing. Our land and expand sales strategy is coming together, Europe's growth is reaccelerating and we still get many new growth vectors to tap. Let me start with Listings. Listings ARR bottomed out at 1% growth year-over-year in Q4 of last year and has since reaccelerated to 5% year-over-year growth most recently in Q3. While Listings is showing signs of recovery, Answers is growing quickly. Answers has sustained triple-digit ARR growth exceeding 130% on a year-over-year basis for the past 12 months and is now a significant portion of our incremental ARR mix. And we are landing and successfully expanding several leading global brands, all of whom landed with a small footprint in Listings or Answers now have an ARR base with millions of dollars of ARR as they expanded with a deeper foothold across the platform. And so for example, a large telco, we landed in Q1 fiscal 2016 for just a couple of hundred thousand dollars in ARR has increased over 11x to an ARR base of more than $3 million as of the third quarter this year by expanding across our AR search platform with more products and solutions. With more products and solutions to sell and demand from our clients' recovery, sales productivity of ramped reps in our direct channels has increased over 50% year-to-date compared to last year. Europe. Europe grew ARR in excess of 30% year-over-year during the third quarter. Renewals. Renewals in financial services and health care were strong this quarter, and we're starting to see some industries impacted by the pandemic return such as retail, restaurants and luxury brands. This quarter's renewals included Dolce & Gabbana, Krispy Kreme, P.F. Chang's, Topgolf; and fashion brand, YSL. The data from the third quarter suggests that we've reached the bottom in Q4 last year, and we are on the road to resuming our pre-pandemic state. We're optimistic about the future growth opportunity of our business because of these trends and also because of new growth factors as we continue to innovate. We've built a robust platform that enables us to innovate quickly launch new search products in adjacent categories for cross-sell and layer on solutions specific to an industry or business based on their knowledge graph. This quarter, we launched new AI search industry solutions in health care and FinServ and announced a strategic partnership with Opia, following partnerships with other technology platforms that expand our market opportunity, like the collaboration with Salesforce we discussed last quarter. We will continue to innovate and create unique solutions for our customers and partners every quarter, and we're bringing new AI search ideas and product categories to our customers, driving further upside to our plans. I'll highlight just a few. First, product listings. There for products, what location listings are for physical locations. For example, many cosmetics originated on revlon.com but the product content for makeup items, beauty tools and hair products, must also end up on dozens of e-commerce sites. Content like pictures, product specifications, prices and more must be synced from a single source of truth across multiple end points, which is the exact same problem we solved for Locations. Product listings is an area, a new area where we are well positioned to enter and compete. Let's talk about chat and guided search. The rising in popularity and our ability to answer questions completely free form is the perfect overlay for existing chat offerings that blend the best of natural language understanding, which we do with future workflow, which we plan to develop. Based on the knowledge graph powering conversational AI, search, listings and everything from one spot, we see a huge opportunity to compete in this market. Finally, workplace answers or what others call enterprise search behind the firewall is one of the most commonly requested features from our customers, and we're building the scale, connectors and security features to enter this market. With this level of innovation, we are well positioned for the future. I've never been more confident in our vision. Speaking of, I'll turn the call over to Dave Rudnitsky, our President and COO, to share more information about the third quarter. Dave?
David Rudnitsky: Thanks, Howard. We had a solid quarter with consistent results across channels, geographies, verticals, new logos and renewals. Direct sales productivity is returning, and every group in every region was part of this quarter's success. This quarter, 53% of the customers that renewed were upsells, a positive indicator that makes us optimistic about the future. We're also encouraged by our increased engagement with customers. As mentioned on last quarter's earnings call, in lieu of our annual conference called Onward, we're hosting a series of 40 in-person field events that started at the beginning of the third quarter called the search bar reunion tour. We continue to host meetings with customers and prospects at our Executive Briefing Center in our New York City office, where we are increasingly engaged in high-level conversation with C-suite executives, including CEOs, CIOs and CTOs to name a few. They're telling us that they're looking for a universal search solution to manage their entire customer journey. Our customers are choosing Yext to help them solve business problems that range from hours and locations to marketing and support. Businesses around the globe are recognizing that the customer journey starts with a search. And search enables them to run their business better. Now I'll take you through the details and share some highlights of the third quarter. The total number of Yext Direct customers, excluding SMB and third-party reseller customers, increased 20% year-over-year to over 2,700. Our direct excluding SMB and reseller customers with ARR over $100,000 totaled 602 at the end of Q3, up 16% year-over-year. New logo signings included world-class brands such as Citibank, Prada, Quest Diagnostics and Parkview Health. With Citibank, we now have eight of the top 10 U.S. banks utilizing Yext AI search platform. We continue to see momentum with Answer, with 91 Answers-led deals closed in the third quarter, up from 70 deals in the second quarter this year. Support answer deals more than doubled quarter-over-quarter. In the third quarter, we signed some of the largest support deals with technology companies, including Greenhouse, Broadcom and Outreach, demonstrating how Answers has enabled us to help businesses in industries like technology which did not have a large physical presence. American Eagle and AutoZone, which do have a large number of physical locations also signed Support Answers deals. Renewals and financial services and health care were particularly strong and included Fidelity, H&R Block, Morgan Stanley and RBC. In health care, Humana, Providence Health, New York Presbyterian Hospital also renewed, other notable renewals, including Comcast and Goodyear Tire. Upsells during the quarter included a healthy mix of well-known global brands across all verticals, such as Burberry, JPMorgan Chase, Kia Motors, Macy's, McDonald's, Subway, UnitedHealthcare and Virtusa. Several leading global brands have expanded their ARR by millions of dollars over time, including a core Altice, Verizon and Wells Fargo. A good indication that our land and expand strategy is working. Internationally, we signed notable customers, including Sainsbury Supermarkets in EMEA and Asahi in Japan. We delivered a solid Q3 with participation across the globe, a notable increase in our customer engagements and strong renewals and upsells. We have momentum going into the fourth quarter, and I look forward to a strong end to the year. With that, I'll turn the call over to Steve.
Steve Cakebread: Thanks, Dave. As Dave said, Q3 was solid. Revenue above guidance, strong cash position, continued operating efficiencies. We view this quarter's results as an indication that our platform sales approach is working, and our continued product innovations have positioned us well to capture growth as customer confidence returns. Third quarter revenue grew 12% year-over-year to $99.5 million. Unearned revenue increased 18% year-over-year to $151 million and ARR was $387 million, that's up 12% year-over-year. Our trailing 12-month net dollar-based retention for direct, excluding SMB and third-party reseller customers, was 100%. Now this metric seemed to have found its floor. Given this quarter's upsells, we would anticipate this metric to improve over time given our trailing 12-month methodology. In addition, we saw strong gross retention in Q3, returning to more normal levels. So turning to non-GAAP results, which are reconciled to GAAP in our press release. Q3 gross margin was 76.5% this quarter, and that's up from 75.2% in the second quarter of this year. Keeping in mind, we made some investments into our professional services and support teams last quarter. We continue to be in our long-term range of 75% to 80% gross margins on a non-GAAP basis. Q3 operating expenses were $81 million or 81% of revenue, and that's up slightly from 80% in the year ago quarter while investing in revenue-generating opportunities such as marketing, events and product launches. Sales and marketing as a percentage of revenue quarter-to-date decreased from 53% as of Q3 fiscal year '21 to 52% as of Q3 fiscal year '22, and sales and marketing as a percentage of revenue also decreased from 56% in '21 to 53% in '22. G&A as a percent of revenue has been relatively flat on both the quarter-to-date and year-to-date basis. Our Q3 net loss was $5.5 million, and that compares to a $2.8 million loss in the year ago quarter, and our Q3 net loss per share of $0.04 compares to $0.02 loss last year. Cash and cash equivalents were $230 million at the end of the third quarter, and we continue to have a strong balance sheet, and we're well positioned to invest in growth as we expect going forward. Net cash flow from operations for the three months ended October 2021 was a negative $9.7 million, and that's compared to a negative $7.4 million for the three months ended October 2020. But on a nine-month basis, cash flow from operations was a negative $7.3 million, and that compares to a negative $23.7 million for nine months ended last year, October 2020. CapEx was $1.8 million in the three months ended October 21, and that compares to $13.9 million in the same three months ended October 2020, but we're returning to more normalized annual CapEx run rates. So now turning to our outlook, we expect Q4 revenue to be between $100 million and $102 million. We expect non-GAAP net loss per share between $0.08 and $0.10. That's assuming a weighted average basic share count of approximately 130.3 million shares in Q4. For the full year of fiscal year '22, we expect revenue of $389.7 million to $391.7 million. Our non-GAAP loss per share is expected to be between $0.20 and $0.22. This assumes a basic weighted average share count of approximately 127.8 million shares. I'm excited about our continued innovation across the Answers platform and the improving growth in our Listings business. Listings are seeing strong indicators of recovery. Our land and expand strategy is working and sales productivity is improving. Europe has returned to growth, and we have a strong platform under which we continue to innovate. We're in a good position to capture long-term growth as macroeconomic conditions continue to show signs of improvement and I'm excited about our future potential. With that, back to Howard.
Howard Lerman: Thanks, Steve. Listings has bounced back from 1% to mid-single-digit growth, while ARR for other products in our portfolio are growing north of 30%, all other products, including Answers, by the way, which is growing in triple digits. We are on the road to recovery. Operator, we're ready to open it up for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Arjun Bhatia with William Blair. Please go ahead.
Unidentified Analyst: This is Chris on for Arjun. Just first one, congrats on a solid third quarter. So guess the macro has been a bit of a headwind to customer expansion over the past year. But you touched on gross retention a bit. I kind of want to double-click on that. I know you said it's returning to normalized levels, but -- can you help us quantify kind of roughly where that is today and where it was during the floor of last 4Q?
Steve Cakebread: Yes. For the previous couple of quarters when we were into major COVID, it was dramatically lower. And we don't give out the number because there's a lot of math involved in both of these. I'll just say that it's recovered dramatically, and it is back into line with what we've seen pre-COVID like fiscal year '20. And net retention, like I said, is kind of hit the floor of what we've seen. Yes, it's only 100%, if you will, and you would expect that to be higher, but a lot of the upsells are starting to come back, and you'll start to see that math starts to work in our favor going forward here. It just is tough when you have trailing 12 quarters. And remember, in this math, we have Q4 last year and Q1 of this year and both were very tough quarters on retention. So we're comfortable with where we're going here. And as Dave said, a lot of good upsells are starting to come our way. So we're excited about that. Keep in mind, Q4 is a big renewal quarter, so there's some more potential for upsells there as well, and that will start to influence the number you're seeing.
Unidentified Analyst: Got it. That's really helpful. And so you mentioned customer demand coming back a bit. So with that, how are you thinking about investments going forward? What are some of the priorities going into next year? And are there any areas that you pulled back in over the past 12 to 18 months that you're not kind of reinvesting in
Steve Cakebread: Howard, do you want to do that?
Howard Lerman: Yes. One of the things about investments is that we're going to continue to -- if you look at our R&D investments, we don't necessarily need to increase them as a percentage of revenue. We're going to keep them where they are and still come up with a bunch of great stuff. So, we feel really good about our R&D. We feel really good about our ability to innovate and deliver some forward-looking products on top of what we already have guidance we're going to spend.
Operator: Our next question comes from Naved Khan with Truist Securities. Please go ahead.
Naved Khan: Yes. I've got a couple of questions. On the new wins that you're getting, what percentage includes Answers versus just Listing, if can you break that out for us? And then on the guidance, Steve, people are talking about this variant, the new virus variant and -- maybe -- I mean it's still too early to say how impactful it might be, but when you look out for the Q4 guide, what are you assuming there? And then I have a quick follow-up.
Steve Cakebread: Let me take the guide for a minute. One is, we feel very comfortable with the guide now. It's -- as you know, in subscription business, you have pretty good insight into where things are going. The couple of things, and I know we'll mention this, a couple of times, but our product mix has started to shift from Listings to Answers, which has helped us out dramatically. We're getting a broader industry segment base as well. So not as concerned about any type of future variance or whatever, we're kind of -- our sales team has been getting productive through all this period as well. So we feel good about Q4 guidance. We're clearly working on next year, so I won't really get into that number. But I think the shift in the business mix that we have, the shift in the industry segment mix that we have, the continued new product offerings that take us a way or mitigate some of the direct listings business are going to help us out. But I'll also point out, we had a lot of customers that Dave talked about that are back in retail and hospitality. So I do think things are starting to return here, and we feel comfortable that the guidance we gave is solid for right now for Q4. And then, the Answers-Listing mix. Dave or Howard, do you want to talk about that?
Howard Lerman: Yes, Naved, non-Listings -- Answers ARR grew 30% -- sorry, non-Listing ARR grew 30% year-over-year. And Answers ARR, which we said is growing 130% year-over-year. And so, when we think about the overall contribution Answers has on the business, which is what I think you're asking and include the support and recurring services and other products, that ARR is growing around 150% year-over-year and is roughly $20 million of total ARR. And I just want to be clear, this is not a prescriptive metric, but it's an estimation of sort of that contribution.
Steve Cakebread: Yes. I think that's part of the shift in our business model mix as part of the shift in industry mix that you're seeing, too. So going into next year, it's -- we're going to have a strong product offering and a strong industry mix that will take advantage of all the macroeconomic things going on, I think.
Naved Khan: Got it. A quick follow-up, if I may. So Steve, productivity up 50% year-on-year like you pointed out. If I had to think about sales headcount, for the year-end, I think you spoke previously about 250, maybe as a good number. And I guess, you're not at ready to share the number for next year. But how should we think about the productivity gain and that being leveraged into next year?
Steve Cakebread: Yes. I think that productivity has been a great improvement. It certainly gives us a lot more resources. As you know, we, like everybody else, experience challenges in recruiting good sales reps. But this covers that no matter what our numbers are for quota-carrying headcount next year. We have enough capacity to do and run the business that we want and improving sales productivity is kind of job one at the moment.
Operator: Our next question comes from Ryan MacDonald with Needham. Please go ahead.
Unidentified Analyst: This is Josh on for Ryan. A nice job on the quarter. So I believe you've recently increased your vertical focus here announcing expanded functionality in financial services in the public sector. Can you talk about how these new offerings are resonating within those verticals -- and then what additional verticals are you focused on in terms of deploying a similar strategy going forward?
David Rudnitsky: Josh, it's Dave Rudnitsky. Thanks for the question. So what's happening is we start to approach our sales pursuits with the platform, we're starting to uncover just different use cases. And a lot of what we're focused on with these vertical solutions are based on use cases. When we look at it, we're no longer selling a product, we are selling a platform that can solve a lot of search needs, whether it's out on the long tail of the Internet, in front of your firewall, behind your firewall. So a lot of it is being driven by customer demand and the ability to look at what their customer journey looks like and solve it with search. That's number one. Number two, you are right, we are looking at the public sector. We've organized ourselves around a public sector group. So today, we have three groups that are dedicated to wake up in the morning. The only thing they care about is that particular vertical. One is health care, one is financial services and one is public sector. Within the different regions, though, we do have account executives that concentrate on certain industries like high growth in technology. And you've seen some of them I highlighted in my opening comments about some of the support deals where they're technology companies, and we think there's a real sweet spot for us there. So we have some focus. Over time, as we start to build it out, I suspect we will continue, as most companies do, when you go through this journey of continuing to have more of an industry focus as we continue to build out solutions.
Unidentified Analyst: Got it. That's super helpful. And then maybe just a follow-up. We've noticed that Yext is now marketing e-commerce search and workplace search on the website. Can you just discuss the demand you've seen for these offerings thus far? And are they creating an opportunity for multiproduct sales on top of Answers and Support Answers?
Howard Lerman: Support Answers in itself is an opportunity for multiproduct sales. So we're already there before we get to workplace in e-com. They're up on the site, folks can request. And if they come to us, we'll certainly have a dialogue. We continue to build the features really for Workplace Answers where we see the biggest opportunity and hear from our customers that they want that set of functionality. And in this quarter, we made a ton of progress to being able to do that, particularly in the security side with consumer authentication, the scalability side, where we can support way more entities in a knowledge graph now. And going forward, we just need to get some more connectors in there to really have a competitive offering in this space. We've not gone to really outbound push this yet. We're handling what's coming to us, but it is encouraging.
David Rudnitsky: Yes. And I would tell you that said, Josh, there is quite a bit of demand for it. We have a lot of conversations around it, and I can't wait to have it.
Operator: Our next question comes from Rohit Kulkarni with MKM Partners. Please go ahead.
Rohit Kulkarni: A couple of questions. One is just the shape of the recovery over the last, say, four to six months. I know you had mentioned challenging July, mid of August. Any more color on how month-over-month trends have been over the last few months? And what are you assuming? I think you already mentioned Omicron-related, but I guess, just call out how the past few months have been? And what do you expect over the next few months?
Steve Cakebread: Yes. We probably all have an opinion on that. I mean our third quarter is August, September, October. So August is summer time for almost everybody. And we're like a lot of software companies, back-end loaded into the last month or two of the quarter. So it's really hard to ferret out any trends other than to say we are seeing customers return. The Listings business coming back with some of the renewals and wins that Dave had has been great. The upsells has started to return. So you have to -- it's tough to look at it month-to-month, and we're not really looking at it even now. We know that there's a lot of deals that will close in the January time frame. And I just think with -- as Howard described, the return of the listings business is a good signal that things are coming back. And I think that a lot of the location-based businesses are now starting to say they have to reinvent themselves and this is part of that reinvention.
Rohit Kulkarni: Okay. And then on 4Q guidance. Any extra color you can give, Steve, on what are you assuming with the upsells and renewals, maybe on a two-year stack? Like how are you thinking how they were two years ago, upsells and renewals?
Steve Cakebread: Well, our cohorts have been pretty strong going forward. We showed that at our last Investors Day, it's tough to characterize it because there's so much business between now and January 31 that we've contemplated that in our guidance, and we think, as I said, we think the net retention metrics will start to return just based on our math, and we had a good strong gross retention in Q3, but we have a lot of work to do in Q4 to put up those numbers, but we feel good about the guidance that we have right now.
Operator: Our next question comes from Tom White with D.A. Davidson. Please go ahead.
Unidentified Analyst: This is Cevis on for Tom. So first of all, I wanted to just talk about the recent recovery trends in your verticals you've seen that has the biggest impact from COVID. I guess that's probably your retail and food services -- How are the discussions with those customers and prospects going? Any signs that your customers are starting to add new locations again? And then I have a follow-up question after that.
David Rudnitsky: Yes. So this is Dave Rudnitsky. We are having good conversations. There's a definitely renewed level of engagement with them. And as I mentioned in my comments, some of the upsells that we did this past quarter fit right into it. There were quite a bit of food service and retail. And just anecdotally, they are very, very engaged with us. I see a tremendous level of interest. And yes, to your question, they are adding more locations and adding capacity in other products as well with upsells.
Unidentified Analyst: Awesome. And then for the Support Answers product, I was wondering if you could talk a bit more about the trends you're seeing with that. I'm curious to see the expansion opportunity with your legacy customer base. And then what types of new customer segments or verticals you're expecting to see the most interest from customers for that product?
David Rudnitsky: So I will tell you that the level of interest for Support is as strong as anything that I've seen in terms of new product introduction. What makes it really special is that all of our solutions we talk about are built on a common knowledge graph. So particularly on upsells, these folks have already invested time, money and effort into building out a knowledge graph. So for Support, we're adding to it. And it's much easier to layer on top of it additional solutions. And I will tell you that if you look across the board, whether it's in the Zendesk world, the Salesforce Service Cloud world, there is a huge need for what we do to help with that customer journey in terms of helping to deflect customer tickets, reduce support cost, helping to enable a customer service rep. If you look at some of the sales that we had this past quarter, and we talked about Samsung a while back prior -- some of those ROI numbers are off the charts. And so I think, particularly with Support, you see a tremendous, tremendous gain on ROI. Samsung had a -- we just did a user case if you check out our press releases on our website. But Samsung had a 45% increase in Net Promoter Score. They had a 33% increase in customer sat. There was 19% more engagement with their help site. And these are real numbers. Typically, a support offering represents a fairly big opportunity and it's super exciting and I'm very, very optimistic about where we're headed with it.
Operator: [Operator Instructions] Our next question comes from Pinjalim Bora with JPMorgan. Please go ahead.
Pinjalim Bora: Congrats on the quarter. I was -- I wanted to ask about the Acquia relationship. I was looking at the website. It seems like they have an enterprise search product, which is based on solar already. So I was wondering what led to that relationship? Is that kind of replacing that product? Or is that more of a case of providing kind of choices to their customers? And secondly, do you expect to forge such relationships with other CMS's?
Howard Lerman: Obviously, it's about helping any customer with a choice that they -- with search they want to use in their website. When it comes to solar versus Yext, it's not even close. We're in the cloud. We're in natural language. We're based on a knowledge graph. We have analytics. We have a full platform to manage universal search everywhere someone's looking, whether it's on a help side, site in the community, on Google, you put information in the Yext Knowledge Graph, and bam, it can power a page on a website and answer and support and also show up in Google on in a Google natural language search. So the differentiation of Yext versus solar is not even close. And so as their customers have seen this that means that we're talking to a lot of the same folks and a lot of the same deals. And for any company that wants to build the best customer experience, they're going to want to have Yext search powering their customer search and their sites and everywhere else, all from our knowledge graph  And so we're delighted to -- just like we've done with Adobe, be able to do this with now Acquia and there -- we work with many of the same folks. They have a really great penetration to the health care market. And so we're glad to be working with them.
Pinjalim Bora: Got it. Just as a follow-up on the international side. I think last time you had said there were some challenges, it seems like it's coming back. But again, we are hearing things being closed down due to Omicron. So are you baking in a little bit of a cautious stance for the international business going forward?
Steve Cakebread: No, I don't think -- go ahead, Howard.
Howard Lerman: I was going to say, I think Steve kind of alluded to the fact that we've contemplated the potential impact of a mutation in our guidance here, which we feel good about. Another thing I would say is just that when you look at our international business, it is European and you've got Japan in there. And in Europe, a lot of it really does come from Northern Europe. So the other thing I would just say is that with regard to kind of looking forward for our business, the mix of our products is pretty different than it was 18 months ago during March 2020. And so a much smaller percentage of our business comes from location-based businesses, you hear us talking about Support Answers deals with Broadcom, with Outreach, with Greenhouse. These are tech companies that are less likely to have to be affected by location shutdowns. So our industry mix and our product mix is totally different than it was 18 months ago, as is our sales motion where we have adapted to be able to sell within this new normal. That's just the normal way it is for us right now. And with our AI platform and expanded TAM, we are comfortable in selling in whatever macro environment, even if it turns out to be bad, which we are not health experts and we don't know.
Operator: This concludes our question-and-answer session as well as our conference for today. Thank you for attending today's presentation. You may now disconnect.